Operator: Good afternoon ladies and gentlemen. Welcome to Volkswagen’s Conference Call on the Results for the period January to March 2012 based on the ad hoc and the interim report, we published this morning. Joining me today on this call are Hans Dieter Pötsch, Member of the Board of Management Volkswagen AG responsible for Finance and Controlling, and the Member of the Board of Management Volkswagen AG responsible for Group Sales and Marketing, Christian Klingler. You can follow the webcast and download the chart from our website www.volkswagenag.com/ir. Questions can be sent by e-mail or called in. After the presentation, we will take questions first from analysts, and then from Journalists. Let me now pass you over to Mr. Pötsch.
Hans Dieter Pötsch: Thank you and allow me to add my warm welcome to those of you joining this call today. It is my pleasure to be able to report the good start to the year 2012 despite the difficult economic environment here in Europe. In the first three months, the Volkswagen Group delivered more 2 million vehicles for the first time, an increase of 11.1%. The volume increase, which of course includes MAN drove sales revenue up to €47.3 million and operating profit to €3.2 billion, thanks to qualitative growth. Profit before tax increased to €4.3 billion, benefiting from an improved financial result in particular through strong earnings from our equity accounted companies. Automotive net liquidity ended the quarter at close to €16 billion, down just over €1 billion on the year-end, as we invested in our future growth in our car division, in new products and plants, including, of course, MQB and also in trucks with a further increase in our position at MAN. Last week, we announced the takeover of Ducati via Audi AG, subject to the usual approvals of the cartel authorities. Ducati is a perfect fit to Audi with its renowned expertise in low weight and high power outputs, together with impressive margins and significant sales and profit potential. Allow me now to hand you over to Mr. Klingler, who will take you through the sales landscape and our good performance. Mr. Klingler, over to you.
Christian Klingler: Ladies and gentlemen, a warm welcome to the conference call from me also. This chart shows development of the growth of car market by quarter in comparison to the same quarter of the previous year. In the wake of the Eurozone debt crisis, the economic environment darkened significantly, mainly in Western Europe, but also in markets which depend on exports to the regions. This explains the comparably weak market growth in the last quarter of 2011. With an ongoing strong development in major growth markets such as China, Russia on the one hand, and the North American market picking up on the other, the first quarter of 2012, again, recorded positive growth. The recovery of demand, following last year’s earthquake in Japan also contributed to this global growth of 6.8%. However, in order to evaluate the relative development of the global market, a comparison to the last normal year of 2007 is still appropriate, which is shown at the next chart. On a global basis, the car market is now comfortably above the pre-crisis level of 2007. However, that is mainly the result of the strong performance of the Chinese market, since then. Excluding China the car market is still below the pre-crisis level as shown in the next chart by the orange line. First, the phase out of government support measures in many markets; then supply disruptions from natural disasters. And finally an increasing difficult economic background in Western Europe, kept the car market I would say of China muted. While the North American car market is growing again, the recovery is still somewhat fragile as the overall economic operates below its potential. With the Eurozone debt crisis still lingering, Western Europe is now in the mild recession putting the car markets under pressure. While some markets, including Germany still show a positive economic growth and a stable car market, started in European countries from Greece to Portugal report significant declines. The recovery in the developed markets will be protracted. A possible further contingent from this current debt crisis and the rising oil price constitute significant risks to the market development. We continue to closely monitor this elevated level of market risks. Some market growth albeit on the somewhat slower pace is continuing to move to BRIC markets, especially in Asia. We expect this favorable development to continue. In spite of the difficult market conditions in the Western Europe, we are confident that in the year 2012 the global car market will have a small growth compared to 2011. Turning now to our performance, the Volkswagen Group continue to outperform over the car market. We again gained global market share in the first quarter of 2012 supported mainly by the group performances in China, the U.S., Russia as well as in Germany. Here you can see the car market performance of the regions around the world in direct comparison to the performance of the Volkswagen Group in the first quarter of 2012. The Volkswagen Group has outperformed market in every region worldwide. As the Western European market declined over 8% the Volkswagen Group recorded a decline of just 1.2%. As I already mentioned, major market in the region suffered reductions amid a weak economic back ground. In particular the Portuguese and Greek markets contracted heavily by 48% and 32% respectively against the first quarter of 2011 and France and Italy are both down by over 20%. Now we will take a look at the performance of the individual brands of the Group. In the first quarter of 2012, nearly all of our brands achieved an increase in terms of sales for the Group. Total deliveries to customers exceeded last year’s level by 11.1%. Volkswagen passenger car deliveries were up by an impressive 10.5% to more than 1.3 million cars driven by robust sales record and strong demand in China, the U.S., Russia and India. Audi deliveries rose by 10.8% compared to last year to 346,000 cars being very successful in China, the U.S., Russia and Japan. Skoda expanded deliveries up to 243,000 cars mainly due to the strong demand in Russia, China, and India. SEAT suffered from the weak Western European markets whereas Bentley has managed to expand the deliveries significantly. Volkswagen commercial vehicles increased deliveries by 7.9% with strong demand in Germany and in Russia. As expected markets for heavy commercial vehicles and buses are losing cross momentums in 2012. For the full year the global market is expected to reach roughly the same level as 2011. MAN and Scania paid headwinds during the first quarter of 2012. Worsening economic conditions in some of the major markets particularly in Western Europe had a negative impact in truck demand and let to an intensification of the competitive environment. During the first quarter of 2012, total Scania deliveries decreased by 14.8% to 16,000 vehicles compared to the same period of 2011. The Volkswagen Group has consolidated MAN since November 9, 2011. To give an overview of the sales performances, we have included the comparison to the period of January to March 2011 for information only in this chart. As you can see, MAN recorded total vehicle deliveries of 35,000 units, which rounded was at the same level as the quarter one in the previous year. Sales revenue in the power engineering business area at MAN climbed about 5% compared to the first three months of 2011. Now let us now take a look at a few highlights on some of our new models, which will provide a good base for our sales performances in the coming months. The Volkswagen Passat Alltrack, pleasure before business, the off road oriented lifestyle version of the Passat Variant is a crossover between Estate and SUV offers the best updated advantage of both worlds. Shown at Tokyo Motor Show in November last year, the Volkswagen Passat Alltrack was introduced in the market this March. The Volkswagen new Sagitar characterizes itself by its modern dynamic and representative design, as well as its uncompressed driving experience, which are based Volkswagen’s quality standards and German engineering. The Volkswagen new Sagitar hit the road in China last month. The successful Audi A1 has captured a new segment for Audi. The new Audi A1 Sportback expands to range offering two additional doors, more functionality, more practicability, more comfort and roominess. The A1 Sportback had its world premier to Tokyo Motor Show and was introduced in the market in the first quarter of 2012. The Skoda Citigo 4 Doors offers best in class roominess and spaciousness that provide flexibility and comfort everyday creating more space for life. Shown at the Geneva Motor in March this year, the Skoda Citigo 4 Doors was introduced in the market this month.
Christine Ritz: Thank you, Mr. Klingler. Now let’s switch on to Mr. Pötsch, for some more details on the key elements of our financial performance.
Hans Dieter Pötsch: In the first three months of 2012 sales revenue increased by 26.3% to a €47.3 billion. Excluding the first time consolidated of MAN at €3.9 billion, the increase was still an impressive 15.9% to €43.4 billion. Higher volume contributed €3.7 billion to the improvement. Pricing was flat while mix including both product and country mix contributed €1.1 billion to our performance reflecting our strong portfolio of products, currency, mainly the U.S. dollar headed further €0.3 billion. And finally our financial services division was up €0.8 billion bringing the total sales revenue to €47.3 billion for the quarter. The increase in sales revenue was an important factor behind the improvements in the operating profit, which increased from €2.9 billion to €3.2 billion in the first quarter. The lower percentage growth in operating profit versus the increase in sales revenue is due to a significant purchase price accounting charge together with ongoing cost relating to the introduction of new products including preparatory works relating to vehicles on the MQB architecture. Excluding these effects, the operating profit margin was at a level close to that achieved in the first quarter of 2011. Delving into the details shows that volume together with price and mix effect came to a total positive of €0.7 billion, currency after hedging was a plus of €0.1 billion. In the first quarter, we were able to continue to reduce our product costs by €0.3 billion. Fixed costs and depreciation increased by €0.6 billion, which reflects the growth in our production base as well as the significant efforts to prepare the company for the introduction of cars built on the MQB toolkit later in the year. The contribution from our truck and power engineering activities was negatively influenced by the significant charge for PPA resulting in a net negative swing of €0.2 billion for the quarter. Finally, earnings from financial services were maintained at the same high earnings level of the first quarter 2011. In total, the operating result was €3.2 billion for the first three months. Turning now to cash flow in the automotive division, operating cash flow reduced from €5.1 billion to €2.9 billion with the key driver being the movement in working capital, which moved from a positive effect of €1.5 billion in the first quarter 2011 to a negative €1.9 billion. This movement reflects an increase in stock levels, which moved towards the more normalized level ahead of significant model changeovers. In addition, the first part of the dividend we receive annually from China was this year agreed in the first quarter, but the cash is expected to follow in the second quarter, thereby driving up receivables at March 31 by around €1 billion. And finally MAN completed the transaction related to several MPC industries with MPC industries resulting in a cash outflow of €350 million. Cash flow from investing activities fell from €4.5 billion to €2.5 billion, excluding equity investments which in particular included the purchase of Porsche Holding Salzburg in the first quarter of 2011. Cash flow in investing activities increased from €1.3 billion to €2.1 billion. Within this CapEx almost doubled in the first quarter to €1.7 billion reflecting in particular the upfront investments for MQB derived cars. The CapEx ratio was 4%. For full year we cannot rule out that it will be over 6% with the usual seasonality pattern weighed towards the second half. Net cash flow over the first three months for the Automotive Division came in at a positive €400 million. Staying with the automotive division net liquidity at the end of the first quarter was €15.8 billion, down just over €1 billion over the year end 2011 reflecting the significant investments in our future, I just outlined on the previous slide, plus the investment of €1.4 billion in increasing our stake in MAN to just over 70% of the voting rights. As we announced last week at our AGM, we have increased our stake to 73.76% of the voting rights as April 18, 2012 and 71.89% of the total capital. Elections in 2012 built on the increase in our holding in 2011 and bring us closer to the realization of an integrated commercial vehicles group of Volkswagen, MAN and Scania. Our liquidity level of €15.8 billion allows sufficient flexibility to execute our strategic plans irrespective of fluctuations in the capital markets. Now turning to the financial performance of our ten brands, for the first time for the first three months the Volkswagen passenger car brand posted earnings of €1.1 billion up slightly on the prior period despite the impact of the preparations for MQB. Audi increased its earnings to €1.4 billion for an 11.4% margin maintaining a double-digit level for the seventh quarter in a row. Skoda recorded a result of €209 million on the bank of continued international success. SEAT suffered an increased loss slowing in particular from the dramatic decline in southern European automotive markets as mentioned already by Mr. Klingler. Bentley continued its recovery turning around a loss from the prior year first quarter to report a small profits Volkswagen commercially to increase its operating results by 35% to a €124 million. Scania booked an operating result of €262 million posting an impressive a 11% margin despite a tough market conditions. And MAN included for the first time in the first quarter with a result of €223 million before purchase price allocation. The other lines in the chart includes the elimination of inter-company sales, the earnings from Porsche Holdings Salzburg, as well as PPA charges. Volkswagen Financial Services earnings was slightly up at €311 million. Combining the Automotive and Financial Services divisions gives a total operating profit of €3.2 billion for the first three months. This brings to the financial result which for the first three months came to a positive €1.1 billion, which stands in sharp contrast to a negative €0.7 billion in the first quarter of 2011. Here we include results from our equity accounted investments changes in the valuations of the derivative as well as interest related costs. Our Chinese joint ventures recorded a pro rata strongly positive operating result of €849 million in the quarter. Indirect interest in Porsche AG also booked an excellent result. In addition, the net value of put and call rights relating to our indirect investment in Porsche AG grew due to lower interest rates driving the booking of further positive €600 million in the quarter. In total, profit before tax came in at €4.3 billion close to double the level of the first quarter 2011. So to bring this part of the call today to a close, just a few words on our outlook statement, which you can read in the interim report in full. While we expect continued growth in the global car market in the reminder of the year, the pace of growth is expected to slow. For the full year, we are anticipating a decline in the Western European market although the German market is expected to come in flat for the full year. Our key Group strength is our unique brand portfolio and its accompanying management model which underpins it. As we move further into 2012 in the midst of a global economy facing uncertainty, with a strong balance sheet and improved cost structure together with high flexibility in production and the strong product portfolio with a leading edge in technology, we consider ourselves well prepared for the challenges ahead. While the inclusion of MAN will lead to higher revenues in 2012, the purchase price accounting required will minimize the impact of MAN inclusion within the operating result. To sum-up, while Q1 has been no doubt provided a solid platform for reaching our 2012 goals, many challenges remain. We aim amidst the level of operating results achieved in 2011, which we regard no mean achievement given the stiffening competition in Europe and slowing growth of the global markets. In the long run, we aim to be the leading automotive group in the world qualitatively, quantitatively and of course financially. We are making good progress, the evidence is there, we are on the right path and as more of the steps and our strategy fall into place the sustainability of our earnings becomes more and more assured.
Christian Klingler: Thank you, Mr. Pötsch. We will now begin with the question-and-answer part of today’s conference call, starting first with the questions of analysts. Let’s take the first question please.
Operator: We’ll now take our first question from Horst Schneider of HSBC. Please go ahead.
Horst Schneider – HSBC: Good afternoon, Horst Schneider from HSBC, three questions if I may. The first one relates to your order intake maybe you can comment a bit on that. We heard yesterday some rentals that report some better order intake also in Europe towards the end of the quarter. So, can you confirm that and in that context also I want to know is the second quarter in particular also for Volkswagen will be again the peak quarter in terms of earnings. I think the pattern that we have seen over the last two years is that Q2 is always the strongest quarter. I think this year the situation is somewhat exceptional because you have got the changeover of the Golf in H2. But is it right to assume that Q2 earnings will increase further and this will be the top quarter in terms of earnings. Then the second question is I want to know if the result that we have seen now in others is somewhat sustainable and I want to know in particular, what is the PPA that is include here in this others result. Then the last question is related to the MQB platform launch we have seen in the fourth quarter high burden for that. And I want to know how many burdens, how much is MQB ramp up burdens result in Q1? And how many burdens we can expect for the next two quarters from that? Thank you.
Christine Ritz: Okay, thank you very much, Horst. So you have three questions for us. The first question refers actually to our order intake if we can give you some more details that do we stand there. And you would like to know if the second quarter with regard to earnings is that would be the strongest quarter this year. The second question refers to the line others and you would like to know how big or huge is the impact coming from PPA. And the last question refers to MQB, if we can get some more details on the burden in Q1 coming from MQB and what is our estimate outlook with regard to the MQB impact for the rest of the year. Thank you.
Horst Schneider – HSBC: Thank you.
Hans Dieter Pötsch: Thank you. So if you allow I will start with the order intake. It is probably most concentrated on Western Europe your question, undoubtedly in some of the countries the crisis is very existing. And this is for example to an Italy this is true, in Spain this is true, if you want so for the total of Southern rim in Europe. We still have a reasonable good order intake, but I need to be as well clear that in these countries, but the total markets will go down and have come down to certain extent even heavily. The situation for the customers is not so positive. So just for a reminder the market in France and the market in Italy fell down by just about 20% and that was like Portugal and Greece more than double. So we don’t know what really now is comparing to what, the only thing what we know in general is that our order intake over the last quarter was reasonable that our order stock is reasonably high that we have achieved to reduce a part of our delivery times and that we know that we look with a very detailed analysis on everything what is happening in the Western Europe. So if you go then outside from Western Europe, you have a different view North America, we have seen that we have increased heavily our orders and therefore as well our sales, this is as well true for Russia. We see a reasonable positive development in India, concerning the total market as well our performance. We know that in South America, there are some good lights and sometimes as well. So quite is about a good light, and in China what you have seen is burden our performance, we have a general increase. So coming back to that; it’s probably more concentrated to Western Europe, we are not over what they have expected, we are not under what they have expected.
Horst Schneider – HSBC: What is the size of your order book in Europe, could you quantify that two months, three months of sales?
Hans Dieter Pötsch: Reasonable.
Horst Schneider – HSBC: Okay.
Hans Dieter Pötsch: So I’m going to continue with the question on the second quarter whether as it’s the normal seasonality pattern, we can expect a peak there clearly, the second quarter should not be a bad quarter. As always possibly and for the reason already mentioned ramping up production for a big volume models, the development might not be as pronounced as in, let’s call it a normal year. To the question on the PPA charge in the others line, now they are first of all like and recall my statement from earlier times. On the basis of the current situation with regards to acquired companies, we are looking at, first of all, a full year 2012, which will represent the peak in terms of PPA charges. With an overproportional effect in the first quarter summing up everything both in the operating result where the majority sits in the financial results with a total amount of close to €0.5 billion. We will clearly see a development where over a period of time, we will see the PPA charges coming slightly down. Again, we have to expect a full-year charge of around €1.5 billion in terms of PPA charges. Third question on the MQB impact, first of all, let me make sure that there is proper understanding on what that means in terms of which content do the various cost-related has. We are talking development costs of course, investments and consequently the costs related to investments and significant ramp up costs for the respective model of course, also a significant costs where the reshuffling of production schemes and under optimal situation in the plants where the restructuring process, that has to be initiated. So this clearly triggered with substantial amount of costs also in the first quarter. And as we’ve said many full times, we have to look at a situation where each quarter in 2012 will be the affected, we are talking over and above three-digit amounts and the whole situation is going to drag on into 2013.
Horst Schneider – HSBC: When will you start producing the new Golf?
Christine Ritz: Sorry, Horst, your line is quite bad. What did you say?
Horst Schneider – HSBC: I have asked that when will you start producing the new Golf?
Hans Dieter Pötsch: We will produce Golf for the market mainly up to the summer shutdown.
Horst Schneider – HSBC: Okay. Thank you.
Christine Ritz: Okay, let’s have the next question please.
Operator: (Operator Instructions) We will now take a question from Jochen Gehrke of Deutsche Bank. Please go ahead.
Jochen Gehrke – Deutsche Bank: Yes, good afternoon. Just three quick ones, I missed that Klingler on the presentation chart number 7. The market development without China and now I know it’s a relative chart and it’s against the performance year 2007. But it indicates that on an absolute basis in the coming quarters, you expect the markets outside China to be on lower levels than what we saw in the first quarter. What is this regionally? Do you think run rates in Europe will further decline from where we stood in the first quarter or if this incorporating some other regions, could you just shed light on it? Secondly, with regards to the cash flow development, we saw a very steep rise in receivables in the quarter. Could you just tell us what is behind that? I understand the Chinese dividend might have played a role in that as well, could you quantify it? And then lastly, to your decision to step-up in MAN in the quarter to now almost 74% ownership, Mr. Pötsch, I don’t expect you to share your thoughts really on timing on any further action, but just conceptionally, could you share with us your full process with regards to a potential domination agreement, would it allow Volkswagen to do anything different than what is the position today? And finally, on that subject, also with regards to your net liquidity and all the further projects that you have still outstanding with Porsche and so on, do you feel that €15.8 billion in light of the current still very high uncertain in economic environment is sufficient to pursue all these steps basically within the next one and a half to two years? Thank you.
Christine Ritz: Okay. You have three questions for us, the first question is for Mr. Klingler. With regard to the market developments also without China if we can give you some more information, where do we see here the development? Then the second question refers to the cash flow development and the receivables, if we can quantify here more the Chinese dividend and more if we can give you more details? And the last question refers to our strategy with regard to MAN if we can give you some more details or some more information with regard to a possible domination agreements. And the last question was with regard to the net liquidity you’re asking us if around €60 billion net liquidity will be sufficient actually for all our strategic plans and projects we are heading for, is that would be enough even in this tough environment? Thank you.
Christian Klingler: So maybe I will start with your first question concerning this chart on page seven. I think first for explanation reason, this is a chart which shows some percentage the comparison to 2007. And therefore we need to understand what has happened in 2007. And 2007 the year started slower than it ended. So we had a very strong market in the second half of the year 2007. Therefore a big part of the relative differences is coming from the base year 2007. So in general, we do not see major changes during the year, but the comparison to 2007 had become and the base of 2007 is different as the second half of the year in 2007 was stronger than the first half of the year. So I think that gives you from that respective of page number seven the feeling, but that’s concerning the paper. In general, we see on the markets as we said compared to last year a small growth worldwide. But this was happening in different regions on the different levels. So we see a positive momentum in China concerning the patterns across, I’m not talking about like commercials. We see a positive trend in the United States in general. So the market is coming back still in a lower level, but is coming back. We see as well in South America pretty stable and positive development as it is in India and still a positive for momentum in Russia. As we mentioned before that the market in Western Europe are not in the same shape with a big difference if you want so, from the Southern Rim to Northern Rim. Moving to the Southern Rim, we will have for this year in our feeling, the negative development and the Northern Rim will be probably be more or less stable having smaller decreases. We should not forget that some of the countries are in recession, so Spain is in recession, but UK has announced it, remember it was yesterday that there is a recession time, we shall see what’s happening with Italy. So, the European and Western European markets as I mentioned before, our reason for us to believe that we need to be extremely close and that we serve with all efforts necessary to react as fast as possible if further changes are coming.
Christine Ritz: So, what’s the next question then on the cash flow, working capital side? So, when I mentioned that there is a specific effect with regards to the receivables. And in the receivables position, there is an amount booked roughly of €1 billion, which represents a short-term timing difference referring to dividend decision, which was taken in the first quarter with one of our Chinese join ventures, which we then expect to reverse in the second quarter. Comparing this position with the first quarter of 2011 of course creates with an issue because the situation was different in the 2011.Second question with regard to our shareholding in – which kind of further direction could be expected, what can we already do? Now very clearly, we always said and gave you number of indications that we think there are significant synergies, which can be created in an, as we put this integrated truck group and our opinion has no extent the changed in the meantime. Of course, it’s always in human life, it’s necessary to tune-up with quite some efforts. Now, if you tune-up with the effort, of course, you always want to participate in the advantages coming out of this is. So, that’s mainly the reason why we stepped up the shareholding in my end. What can we do already, there is quiet a lot because as you are well aware, we received an approval by the concerned authorities already. Of course, in order to treat the older shareholder on a fair basis we need to assure the arms length principle. Or in other words, we have to make sure that whatever is done in terms of cooperation between the related companies is advantages for all with the shareholders in all the companies. We are quite used to work on that basis as we have demonstrated at Porsche. So that’s the regional basis to work and if there is any reason to think through the run, we clearly declare that we want to keep all our options in that regard open and that could also includes the possibility of a domination agreement for MAN SG. The final question then on the net liquidity slide, now, clearly it’s an appropriate question on whether this liquidity position looking to potential future projects whether this is sufficient. It’s a reasonable question I would say. Nevertheless, even if we keep in mind that the number we addressed in terms of net liquidity to serve the need of the group on a secured basis, which was roughly €5 billion in the past, which needs to be a revived upwards on the basis of the group, which has become a much larger in the meantime. But, I would assume it should not be more than €7 billion to serve these needs. So on that basis I think it’s obvious that we have quite some playing ground available. And from today’s point of view we would judge the situation as such that we don’t see limitations to our strategic intentions on the one side and we think the position is absolutely robust and solid to support our A rating in the future.
Jochen Gehrke – Deutsche Bank: Thank you very much.
Christine Ritz: Okay, thank you. Let’s have the next question please.
Operator: Our next question is from Michael Tyndall of Barclays. Please go ahead.
Michael Tyndall – Barclays Capital: Hi there, it’s Mike Tyndall from Barclays. Thanks for taking my question. Just one or two, I guess the first is in relation to MAN. Given that you’ve got antitrust approval, can you just confirm whether or not any inter-company supply agreements need to be on an arm’s length basis, or can you actually supply engines to MAN without the need for that approval? The second question just [Audio Gap] it’s on a percentage of completion with your supply, I’m just wondering whether or not we’re still thinking of a smooth cost versus Q4, Q1, Q2, and whether or not perhaps there’s a possibility that Q1 costs have rolled into Q2? And then I guess the final question is, I mean the Q1 results were startling in terms of how good they were, I’m just wondering if that was a surprise to you as well, given your full year planning? And perhaps if you could tell us where the surprise is coming from, is it market share or is it pricing? I’m just curious to know whether or not you’re looking at these results in the same sort of view as we are. Thanks.
Christine Ritz: Okay, Michael, thank you. So then we have three questions. The first one relates to MAN, how we can actually after having the antitrust approvals, how we can work together with MAN, if we have to do everything at arm’s length principle. So the second question refers to MQB the sequencing of cost, if you can give here some more details? And the last question refers to our result in Q1. And you would like to know if we were surprised by the good performance of the Volkswagen Group or what are the reasons for that good performance if we can give you some more explanation, is that coming from rising market share gains or whatever?
Hans Dieter Pötsch: First of all, again on the truck company side, what can we do on and on which basis? As I explained, we have received full antitrust approval, so all the curtail issues are gone there, nevertheless it’s very clear we need to deal to do whatever we do on a clear arm’s length basis, which essentially means we need to prove that if there is any common dealing, it is advantageous for all companies involved and advantageous for all the shareholders. Second question, is there any push forward of costs and could be related into future quarters? No, not really, I mean I think maybe another point here. We started installing MQB equipment already some mid-last year. So we are quite advanced in this process, and the effect is grow limited on whether by accounting somewhat would be taken as CapEx or it’s been kept as down payment until the supply receives final approval from our side, that’s really not substantial. So again to say what I already said, we need to take into consideration that there will be quite significant burden to the P&L also in upcoming quarters, not necessary in a substantial way of bigger as we’ve seen in the fourth quarter 2011 and the first quarter 2012. And this is of course just to create the basis for a decent number of future models, which clearly will ensure that we receive a very decent payback on our investments. The other question then were we surprised no, not really, I think actually to put it in that way we don’t like surprises. So I think to look along with that at the motivation behind your question. I think if the P&L is being dealt within a more surgical way and effort is taken to distract a number of specific issues like the PPA charges. One would find out that we are close to the relative performance in operating profit compared to the first quarter of 2011. Now, before one takes this as a positive, we should not forget that volume is up, sales revenue is up, so one would expect a better performance compared with the first quarter 2011, which of course had clear limitations by the whole process of reorganization and restructuring we are currently going through. So that’s why to cut a long story short, we would pretty much say what it is and it’s been expected.
Michael Tyndall – Barclays Capital: Thank you very much.
Christine Ritz: Okay. As a huge interest, I would really like to ask you to raise two questions only, If not, we have really to adhere to one question. Thank you.
Operator: We will now take our next question from Stuart Pearson of Morgan Stanley. Please go ahead.
Stuart P. Pearson – Morgan Stanley: Yeah, good afternoon. I had two questions, I mean firstly, on China, clearly a huge profits there in the quarter. I wonder could you just update us given what was said about inventory the Beijing Auto Show on Monday. How that market is looking into the second quarter onwards both on the mass and premium side, particularly on pricing. As a follow on to that just the dividends and you mentioned the €1 billion issue in Q1. I think you said that was just from one of your JVs and one of you could just remind us the total dividends out of the China JVs payables with fiscal 2011 and how we should think about that dividend policy going forward? And then just my second question just looking at your geographic sounds performance, it seems the biggest increase in Russia this year and actually Russia by the end of this year, it looks like it could be bigger in the French market, which we spend a lot of time worrying about with some, I have profitability Russian market with Volkswagen Group and how does that compare. I have profitable with the Russian market of Volkswagen Group, how does that compared to the perhaps the year, the group margin average and what is the average of the market, please?
Christine Ritz: Okay, thank you, Stu. There is more or less five question or so. So I have to shorten it a bit, I’m really sorry. So, the first two questions refers to China actually. So the first question is with regard to inventory as we can give you an outlook how the second quarter would look like. Then the second part of the question is dividend. So we mentioned the receivables in the first quarter and what is the expectation for the dividend from the joint ventures in total, what is our expectation about what we received this year from them? And then we come to the next question, it’s regard to the increase in Russia, we have seen a very good sales performance there and if we can describe a little bit the development and the margin expectation and give a outlook? Thank you.
Hans Dieter Pötsch: So, I think if I understand right, your question basically is, what is the development in China in total markets? So we believe that in the passenger car market there is a growth potential. So the first three months that was about a 5% growth on the passenger cars’ party, not on the commercial vehicles. And we believe that over the next months to come, there’ll be a good potential of further growth. You always have said since the beginning if we have somebody else asked just on the division for the Chinese market, we believe that is a one-digit cross potential existing. On the inventory side, there are inventories which are in the market in general. So we have a different competitors, we have at least what we have understood. Some discussions on the inventory levels, we can tell you that we have no issues on our inventory and we don’t have here any feeling to have any reason to believe that we are overstocked. So in general, Chinese business for us is running low. Now, I come to the second part of the question which was Russia. As we know, we are not giving information about our margin and margin structure and what margin, we do please understand it, it seems to be for us a question concerning our competitiveness. We are running effectively very well in Russia. The market is driven by a positive economical situation, as well it was a little bit driven the first month by the preparation of the new election, which has happened then February, March. But let’s be honest that is a good feeling, good performance, healthy performance in the United States. It seems to me to be at least in the same level even on the higher level to be evaluated, because we’re back. We’re back in U.S. and here we have done a very, very good performance in coming to a different status.
Stuart P. Pearson – Morgan Stanley: Okay. On the dividend from China as I have explained the specific incident, which you can find in receivables and working capital is just part of the whole situation and we do expect as a dividend payment for 2011 to be paid then in several tranches in 2012 at least €1.5 billion.
Christine Ritz: Okay. Let’s have the next question please.
Operator: We will now take our next question from Arndt Ellinghorst of Credit Suisse. Please go ahead.
Arndt Ellinghorst – Credit Suisse: Yes, good afternoon, everyone. It’s Arndt Ellinghorst, Credit Suisse. I have two question, the first one is concerning your equity results. You reported obviously a very strong number with €952 million in the first quarter. Firstly, can you share your view whether this is a sustainable level at equity line for the rest of the year for the other quarters and also weather a one-third, two-third splits between Porsche AG and your China contributions and this is a sort of reasonable assumption for us. And secondly, I have to say I was a bit surprised when I saw that VW Bank took €2 billion from the yields LTRO funds. May I ask whether you can share your rationale and why you believe to be appropriate for company, it was about $16 billion of net cash to tap these crisis funds and also what you are intending to use these funds for? Thank you very much?
Christine Ritz: Okay, thank you. And for your two questions, the first question relates to our – at equity results and if we can give you some more details, first of all, how was the split coming from the Chinese joint ventures and the earnings from Porsche AG and if the current equity result is more or less sustainable level for the remaining quarters of the year. And then you would like to know why Volkswagen did decide to take part in the ECP funding this €2 billion?
Hans Dieter Pötsch: First of all, and with all the difficulty in place to get single numbers for the future. But we expect that without a respect for an excellent Porsche performance, but we think possibly there is a bit more potential with regard to the Chinese joint ventures. So that ratio might change a little bit to the favor of China over the period of time, anyway we do expect a positive financial result for the full year. And then on the financial services, it is very clear, we look at the situation on who is allowed to participate in any program and if that is favorable we would not see any reason, not to participate and that’s clearly the reason why we took the amount of €2 billion, it is just complementing our funding base for financial services.
Arndt Ellinghorst – Credit Suisse: Okay, thank you.
Christine Ritz: Thank you and let’s have the next question please.
Operator: We will now take the next question from Daniel Schwarz of Commerzbank. Please go ahead.
Daniel Schwarz – Commerzbank: Yes, thank you. First question again on MAN, maybe you could give indication for the reason for buying preference shares in MAN? And can you confirm that you would not need that for domination agreement? And the second question would be on Porsche. On pending decision here, have you made any progress on that regard in the first quarter? And have you received any indication with regard to the timing of the legal issues, any new indication in that regard? Thank you.
Christine Ritz: Okay, Daniel. Thank you very much. You have two questions for us. The first again to MAN and you would like to know the reason for buying preference shares, and if we can give more details about a possible domination agreement or to a possible intention. Then the second question refers to Porsche and actually the strategy to achieve an Integrated Automotive Group with Porsche, if there is any progress so far with regard to the timing, and also if we can give an update of the legal issues at Porsche SE?
Hans Dieter Pötsch: First of all, on the MAN, why did we buy pref shares? As I already mentioned, if you tune up with efforts, you want to participate in the advantages also. The price of the prefs is stable, so we didn’t find any reason not to buy pref shares of MAN. Then, again, as I already elaborated on, on the basis of the position reached, we still keep all our options open, and that could also include the possibility of a domination agreement. In terms of Porsche, obviously I could talk, potentially long on that issue, but got a long story short here. Not too much news, we still try to identify an alternative route that a lot of work to be done with a number authorities, and from today’s point of view it’s simply speaking, not judgeable whether we will be able to identify an alternative route. It’s all of course if there is any progress we will inform the market. And in terms of the legal issues I also have to say nothing to be reported what was not already in the news papers, which in an attempt to put everything in one bag, which means essentially more unlikely that we would hear anything new both from the U.S. situation and in Germany before the second half of 2012.
Christine Ritz:
Daniel Schwarz – Commerzbank: Okay. Thank you.
Christine Ritz: Unfortunately we are running out of time. So please ask us one question only.
Operator: We will now take our next question from Georges Dieng of Natixis. Please go ahead.
Georges Dieng – Natixis: Hello, good afternoon. Unfortunately, I’m just after the cut off line and my question basically is on the North America. Mr. Klingler mentioned that you have obviously a very good performance there. So, I was wondering whether that performance will have an impact on your objective, i.e., could you reach the target of reaching breakeven ahead of 2013, could it be as soon as 2012? And what are the key drivers to get there earlier? Thank you.
Christine Ritz: Okay. So, Georges, sorry for that. We are happy to answer your questions also after the call, don’t get it wrong.
Georges Dieng – Natixis: No problem.
Christine Ritz: So, your question refers to the U.S., if we can give you an update, if you stick to our target with regard to break-even at latest in 2013 or if we can achieve that even earlier, if we could give there an update?
Christian Klingler: I think the – first understand, we have opened our Chattanooga plant in the mid of last year and we started production of the new Passat. We’ve introduced the new Passat there in end of the last year and we have an overwhelming success with our new product, which gives us a very positive feeling and which gives us, I would say so, the feeling that what we have planned seems to work because, of course, planning is one and realization is another. At the end of the day we see that the realization of our plans are there. We’ve launched as well about two years ago the long (Inaudible) and half year the Jetta there, as well very successful and we’ve launched the Beetle. So these three main products make a big difference now in terms of a contribution, as well as in terms of capacity to come to a different level of volumes. Audi as well shows interesting and positive development on a nice level. So we have broken – or we have achieved last year the breakeven in the sales company. I think that’s first achievement for the brand Volkswagen, and we still believe that in 2013, we have good reasons to say that we can have the breakeven on a total level of the company. So we’re in a good track. We’re confident, but it’s still some work to do.
Georges Dieng – Natixis: Thank you.
Christine Ritz: Okay, thank you. Next question please?
Operator: Our next question is from Bernard Donges of JPMorgan. Please go ahead.
Bernard Donges – JPMorgan Securities Ltd.: Yes, hi, good afternoon, Bernard Donges from JPMorgan. So, my question is on the components of you EBIT mix. So, on the volume mix prices impact of €0.7 billion that you show, could you likely give us like the breakdown of like the three components? And in particular, I’m interested to know if the price impact on operating profit is a 100% pass-through from the price impact that you report on revenues on the other bridge. And basically, you say it’s also like some incentive in the form of re-option when you buy like cars that are not reflected there? Thank you.
Christine Ritz: Okay. Thank you. Hopefully, I got everything what you want to know from us. So, you want to know the breakdown of volume mix, price mix...
Bernard Donges – JPMorgan Securities Ltd.: Volume, price and mix, yes.
Christine Ritz: Yeah, price and mix breakdown for Q1?
Bernard Donges – JPMorgan Securities Ltd.: Yes.
Christian Klingler: As you’re well aware, we don’t provide these numbers in specific, but I can say the big bulk is volume; mix and prices were also slightly positive.
Bernard Donges – JPMorgan Securities Ltd.: Okay. Thank you.
Christine Ritz: Okay. Next question please.
Operator: Our next question is from Adam Hull of WestLB. Please go ahead.
Adam Hull – WestLB: Hi, good afternoon everyone. The one question is on Brazil – pretty big, I think, it’s nearly 20% of your revenues for VW Brand. Obviously, we’ve had the situation where imports have sharply fallen back after the extra import tax. I don’t know whether you can particularly comment on the pricing situation for your sales in Q1, compared to say Q4, and compared to year-on-year just to give us a feel. But overall I think your price was flat year-on-year. Is Brazil positive year-on-year and positive Q-on-Q? Thanks.
Christine Ritz: Okay, thanks Adam. You are interested in Brazil and our pricing situation there, if the pricing was similar to Q4 or how was the development there?
Hans Dieter Pötsch: Yeah, sure that there has been a change in the laws concerning the import essentially between Mexico and Brazil. That is one thing. I don’t think that in first quarter there has been any impact on pricing. But I believe, if I understand right, the question is in general, how is the situation? In general, the Brazilian market, as we have said, as well, the last time is under heavy pressure of competitors. We see new competitors going into the market, obviously, as well that there are more and more, let’s say, brands establishing their foothold there. We have achieved in this first quarter, a reasonable good result concerning sales and we had on pricing, a reasonably good result as well. But let’s be honest, there is a lot of pressure.
Adam Hull – WestLB: If I could just – are you still seeing the impact from the Chinese brands particularly coming in, is that still there? I thought they had pulled back a little bit?
Hans Dieter Pötsch: The Chinese brands have fallen down, essentially due to the change of the import law last year, which has been announced, I think in December. But they are localizing and they are making new plants and they are coming. So it’s not an effect that the Chinese brands, by the way I’m not sure that Volkswagen is competing with Chinese brands at all, it’s an effects of the investments of our direct competitors, which would be there in the market like Ford would like be for example, General Motors.
Adam Hull – WestLB: Okay, thanks a lot.
Hans Dieter Pötsch: Volkswagen Japanese is coming over.
Christine Ritz: Okay. Next question please.
Operator: Our next question is from Charles Winston of Redburn Partners. Please go ahead.
Charles Winston - Redburn Partners: Yeah, hi, good afternoon. I just wanted to go back to the comparison of the revenue and profit bridges and then just look at the, what I call the drop through right, in other words, the proportion of profit to revenue growth. The 0.7 has a drop through on the revenue growth in this quarter is about 14.6%, if you go back and look at the full-year 2011, it is 21.9% indeed in the first quarter of 2011 that same ratio was 31.4%. So I was saying a fairly sharp deterioration and the apparent drop through of revenue growth to profit growth. And I’m just wondering if we could explore that what do you think, quite sharp deteriorations there, is there something behind that in the account, so is there something behind there in terms of underlying trading? Thank you.
Christine Ritz: Okay, thank you, Charles. So you have the question, you want to compare the development of the revenue and the profit line, and if we can give you some more information.
Charles Winston - Redburn Partners: On drop through from volume price mix?
Hans Dieter Pötsch: Let me give it a try and see maybe I can help you. So if you look at the P&L structure, as I already elaborated on, if you take the (Inaudible) and you would add back the PPA chart with regards to MAN, then you end up with an operating result, which is roughly €350 million, €360 million higher than the operating results stated or, in other words, in relative terms, it means 7.5% operating result relative to sales revenue. If you compare this with first quarter 2011, it’s been 7.8%. So you see, it’s pretty close. Now, then of course, as I stated, and I can repeat this, of course, we should have expected an even stronger performance if we did not, at the same point in time, revamp, restructure some major plants in Germany by the introduction of the new modular toolkit. That’s been, of course, also another very major effect. So, over and above, it means, once we return to more normal circumstances, we have to keep product on track 2013, 2014 we expectedly will look at another level of performance.
Charles Winston – Redburn Partners LLP: I know, I should just shut up, but just very quickly just to confirm that therefore there are cost items that would effectively be buried in the volume price and mix element in the profit bridge, that’s my understanding of what you’ve just said.
Christian Klingler: Yes.
Christine Ritz:
journalists :
Operator: We will now take our next question from Philippe Houchois of UBS. Please go ahead. Please ensure your phone is not on mute, as we are unable to hear you.
Christine Ritz: Okay, then the next question please.
Operator: We will take a question from Christian Breitsprecher of Macquarie. Please go ahead.
Christian Breitsprecher – Macquarie: Yeah, good afternoon, it’s a Christian Breitsprecher from Macquarie. Just one question again on the timing on the MQB headwinds. So basically as I understand you, the MQB headwinds are not going to increase in the following quarters, it’s pretty much on even level of Q4, Q1 and what we see in the coming quarters. So the only thing that can really kind of spoil the party is really to run out and ramp up of Audi A3 and Volkswagen Golf. Is that the correct picture?
Christian Klingler: If I can answer directly, you have to of course towards the end of the year, you have to add on the new Skoda Octavia and also the SEAT Leon, it’s both volume cars. And of course once we rebuild the factories to large a extend, we will take precaution for the next models also to come. So, again as I’ve said, the whole year will remain burdened by this, but don’t worry, we’ll get the return next and the year after.